Operator: Thank you and good morning, everyone. Thanks for joining us today. With me on the call are ILPT's President, John Murray; Chief Financial Officer, Rick Siedel; and Vice President, Yael Duffy. In just a moment, they will provide details about our business and our performance for the first quarter of 2020, followed by a question-and-answer session with sell-side analysts.First, I would like to note that the recording and retransmission of today's conference call is prohibited without the prior written consent of the company. Also note that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws.These forward-looking statements are based on ILPT's beliefs and expectations as of today, Thursday, April 30, 2020; and actual results may differ materially from those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call.Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission or SEC, which can be accessed from our website, ilptreit.com; or the SEC's website. Investors are cautioned not to place undue reliance upon any forward-looking statements.In addition, we will be discussing non-GAAP numbers during this call, including normalized funds from operations or normalized FFO, adjusted EBITDA and cash-based net operating income or cash basis NOI. A reconciliation of these non-GAAP figures to net income and the components to calculate cash available for distribution or CAD are available in our supplemental operating and financial data package, which also can be found on our website.Before turning the call over to John, I would like to note that, due to the Massachusetts shelter-in-place order, we are unable to conduct today's call from the same location. As a result, there may be some delays during our question-and-answer session, and there is a risk our audio may not be as clear as normal. John?
John Murray: Thank you, Olivia. Good morning and welcome to ILPT's First Quarter 2020 Earnings Call. As you know, these are extraordinary times fraught with challenges on many levels. Over the last several weeks, our priority has been monitoring the developments of the COVID-19 pandemic; and its effect on our business, tenants, communities and families. On today's call, we will discuss the impact of the pandemic on our business; how we are responding to those challenges; and our liquidity, balance sheet strength and ability to manage through this crisis.While we are seeing an unprecedented negative impact on our economy, we believe that ILPT is positioned to weather these disruptions due to the strength of our portfolio and the industrial logistics sector. Nearly 80% of ILPT's annualized rent comes from logistics properties used for warehouse and distribution purposes. This sector has remained in strong demand, as we've seen an accelerated reliance on e-commerce to support retailers and communities as a result of shelter-in-place measures throughout the country.Many of our tenants, including our largest two tenants Amazon and FedEx, are critical to sustaining a resilient supply chain to support essential services and daily consumption. The increased penetration of new users, specifically older generations; and new products such as grocery and pantry goods in the e-commerce sector could have could be significant for logistics real estate demand moving forward, as e-commerce typically requires up to three times more space than brick-and-mortar retail businesses require to store inventory. Amazon has reported 30% greater volume during the pandemic than they have during a typical holiday season.The pandemic is also forcing companies to evaluate the challenges of depending on overseas manufacturing due to both the shutdown of production overseas and port and trade disruption. This may lead to an onshoring of manufacturing and an increase in warehouse inventories to protect the resilience of the supply chain. Furthermore, possible mandated U.S. manufacturing and targeted stockpiles of certain critical medical equipment and supplies could have a similarly positive impact.In the long term, the evolution of the supply chain and consumer demand dynamics will likely support continued growth in e-commerce as well as increased inventory levels in the future, which we believe will positively impact demand for real estate like ours. Additionally, our portfolio possesses several defensive qualities that may help mitigate short-term disruptions in the economy. As of March 31, 2020, total portfolio occupancy was 98.9%, and mainland portfolio occupancy was 99.8%. Nearly 75% of total annualized rent comes from investment-grade-rated tenants, subsidiaries of investment-grade-rated parent entities or Hawaiian land leases.On the mainland alone, 62% of rent comes from investment-grade-rated tenants or subsidiaries of investment-grade-rated parent entities. Further, 84% of our mainland revenue comes from properties that produce or provide goods or services that are deemed essential, following New York state guidelines. We have a long average remaining lease term of nine.three years and minimal near-term lease expirations, with only 0.5% of annualized rent expiring over the next 12 months. As Rick will discuss in more detail, our liquidity also remained strong, and we have minimal near-term debt maturities.Earlier this month, we maintained our regular quarterly distribution to shareholders, which we hope reinforces to investors our belief that ILPT remains a secure investment amid these uncertain market conditions. Turning to our current business activity. As we have previously announced, during the first quarter, we formed our first joint venture, raising approximately $108 million of proceeds at net asset value which was used to reduce leverage. We intend to expand this venture with private capital to support ILPT's continued growth and value enhancement. We are in advanced discussions with another possible venture partner, but timing is uncertain as the pandemic lockdown has made it nearly impossible for this investor to complete property due diligence.As discussed on last quarter's call, in February, we acquired an 820,000-square-foot Class A e-commerce distribution facility located near Phoenix for $71.6 million at a cap rate of 5.2%. The property is 100% leased to Amazon, bringing our total portfolio concentration with this key tenant to 16.1%. We continue to monitor the transaction market and have selectively submitted offers on certain properties during the past month but have not been selected as the buyer, which indicates to us that pricing has not yet changed significantly from pre-pandemic levels.I'll now turn the call over to Yael to discuss tenant and leasing activity.
Yael Duffy: Thanks, John. And good morning, everyone. We believe that the nature of ILPT's business and the strength of our portfolio will allow us to successfully manage the economic disruptions caused by COVID-19. April rent collections remained strong and consistent with trends over prior months with 19 of ILPT's top 20 tenants or 95% having paid rent as scheduled. For the one tenant where we have not received payment, a rent deferment has been granted. Our focus has been on identifying tenants experiencing a financial hardship so that we can support their business' long-term success and preserve ILPT's total cash flows.As of April 27, we have granted rent deferrals to 37 tenants, representing approximately 6.49% of annualized rent. The total amount of rent deferred to date is approximately $2.1 million, of which approximately 40% is attributable to April, 30% to May, 24% to June and the remainder to July. In aggregate, these deferrals represent 2.7% of the contractual cash revenue over the period. We expect rent referral requests to continue throughout May, but provided the economy fully reopens in May and June, rent deferrals should subside as we enter the third quarter.The rent deferrals for our tenants are intended to provide temporary cash flow relief to those most impacted by COVID-19; and generally include the deferral of base rent, which will be paid back over 12 monthly installments beginning in the fall. Consistent with the recent accounting guidance related to rent relief requests, we do not expect any of these tenant assistance to impact our GAAP revenues. As these deferrals are deemed to be payment plans which assume the rent is collectible, they will only temporarily reduce our cash flows. To date, no rent has been forgiven or abated. Our most impacted tenants are small businesses in our Hawaii portfolio whose businesses are tied to a local economy and tourism.Considering the speed in which the pandemic has impacted the economy, our focus has been on providing these tenants a deferment of rent which will give them time to seek assistance from programs under the CARES Act, like the Paycheck Protection Program as well as other private and public sector relief programs. Historical data shows that our Hawaii portfolio has been resilient through previous financial downturns, and we expect to maintain strong occupancy and demand as this crisis resolves. On the mainland, many of our e-commerce and distribution buildings remain open and continue to operate. As John mentioned, 84% of our Mainland Properties meet the New York state definition of essential businesses, which we believe highlights the strength of our portfolio.Turning to this quarter's leasing activity. During the first quarter, we entered new and renewal leases and completed rent resets, all in Hawaii, for approximately 91,000 square feet at rents that were 19% higher than prior rates, with an average lease term of 17.4 years and commitments for leasing capital and concessions of $0.52 per square foot per lease year. This included one rent reset for 42,000 square feet at a 29% roll-up in rent. Lease expirations are minimal in the near term, with only 0.5% of annualized rent expiring over the next 12 months and more than 93% of leases expiring after 2021.As we have discussed on prior calls, we have been working through a rent reset with a tenant in Hawaii that leases approximately 1.2 million square feet for $1.9 million of annualized rent that was scheduled to reset in 2019. We're able to avoid arbitration and the terms of the settlement were finalized in April, resulting in a roll-up of rent of approximately 8%.I'll now turn the call over to Rick to provide details on liquidity and this quarter's financial results.
Rick Siedel: Thanks, Yael. And good morning, everyone. In addition to the overall stability in our portfolio that John and Yael have discussed, we also remain confident that our current liquidity and capital position supports our ability to operate our business effectively through this challenging market environment. As of March 31, we had approximately $20 million of cash on hand and $485 million of availability on our revolving credit facility. Additionally, we have minimal debt maturities over the next 12 months, with just one $49 million mortgage coming due that we plan to prepay tomorrow, May 1.Earlier this month, we declared our regular quarterly dividend of $0.33 per share, unchanged from the prior level. Our dividend is well covered, and we have strong liquidity and minimum capital requirements throughout our portfolio. We expect to continue to pay our regular quarterly dividend even as we may face short-term cash flow disruptions. First quarter normalized FFO was $30.2 million or $0.46 per share, up 12% year-over-year. Adjusted EBITDA for the quarter was $45.9 million, up 35% year-over-year.Total rental income for the first quarter of 2020 increased by $18.3 to $64.3 million, representing a 40% increase over prior year results. This increase primarily reflects our acquisition activity as well as increases from leasing and rent resets, offset by a reduction in percentage rent recognized in Hawaii which we discussed last quarter. As a reminder, historically we recognized percentage rent of approximately $1 million in the first quarter of each year, including 2019.We amended this tenant's lease in the fourth quarter of 2019, establishing an annual floor for percentage rent of $1 million per year which after the amendment is recognized ratably throughout the year, with any favorable adjustments recognized in the fourth quarter. Total portfolio same-property cash basis NOI decreased slightly by 70 basis points versus the prior year with a 3.9% decrease in Hawaii and a 3.3% increase on the mainland. Adjusting for the timing change in the Hawaii percentage rent, Hawaii same-property cash basis NOI increased 1% and consolidated same-property cash basis NOI increased 2%.General and administrative expense for the first quarter totaled $4.8 million, up $1 million year-over-year. And depreciation expense was $18.3 million, up $8.7 million year-over-year. These increases are attributable to our acquisition activity since the beginning of last year. Interest expense in the first quarter increased by $6.9 million year-over-year to $14.5 million primarily due to higher debt balances. We finished the quarter with $265 million outstanding on our revolving credit facility.We reduced consolidated net debt-to-EBITDA from last quarter by approximately 0.6 times with proceeds received from our $680 million joint venture closed during the quarter, partially offset by a slight uptick due to the acquisition John discussed, resulting in consolidated net debt-to-EBITDA of 7.4 times. Excluding the debt and EBITDA related to the joint venture, the rest of the portfolio was at 6.5 times debt-to-EBITDA. We continue to explore opportunities to expand the joint venture to further reduce leverage but remain confident with our current financial profile and ability to run our businesses effectively and securely.That concludes our prepared remarks. Operator, please open up the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Bryan Maher with B. Riley FBR. Please go ahead.
Bryan Maher: Good morning, A couple of quick questions. And I'm sorry if I missed this, but I had a bad connection early in the call. John, what might be your rent deferral expectations for the second quarter? I think I heard you say that you expect it kind of to abate by the time we get to the third quarter, but given that you had kind of $2 million-ish that you reported, I mean, do you expect that to be like another $2 million or maybe $4 million? What are your thoughts there?
John Murray: I think, I'll let Yael take that question.
Yael Duffy: Hi, Bryan. So of the $2.1 million that we've granted already, a majority of it is for future months on May, June and July. And so, we've actually noticed, as we've been approaching May, that the requests have subsided. And a lot of the tenants, especially in Hawaii, have started to rescind their asks. And I think we've had about nine tenants get come to us and say that they've gotten private funding from the Paycheck Protection Program. So it's been I feel like it should subside as we enter the third quarter, but May might we might still get some more requests for May.
Bryan Maher: Okay, but in the low single-digit millions is kind of what you're thinking?
Yael Duffy: I think that's safe.
Bryan Maher: Okay. And then kind of shifting gears. I think you guys mentioned that you're still putting in bids on properties. First, I would assume that those are Mainland Properties. And I think you said that you have not been successful in that bidding. How far off do you think you guys are on a cap rate basis relative to those who are being successful with those acquisitions?
John Murray: Yes. Bryan, we – you're right. Those are Mainland Properties that we have submitted bids for and I'd say we're somewhere 50 to 100 basis points off on pricing.
Bryan Maher: Okay. And can you...
John Murray: But to be fair, we haven't seen them close, so we don't know if we do know that a couple of properties have withdrawn their properties from the market, in the hopes that they could come back when the market is stronger. And others, we're we understand they've moved to additional rounds or have accepted a bid, but we haven't seen them close yet. So it remains to be seen if we are off the mark or if seller expectations are off the mark.
Bryan Maher: Right. And that kind of tees up my other question on activity volume. I mean, has it materially decreased or only kind of modestly decreased relative to, I'd say, two quarters ago?
John Murray: That's a tough one to answer because I think there's a couple of buildings that we bid on where we felt like the seller had the choice of taking our price or taking the property off the market, but we had there were at least one of the properties that we bid on where the brokers told us that they were in the magnitude of eight to 10 other bidders. So the where we felt like we're the only bidder, that would cause me to think that a lot that there's a lot less demand out there for this, for acquisitions in the current environment, but the other case makes me think that there's still capital out there chasing transactions. So it's hard to say...
Bryan Maher: And then kind of shifting gears to the JV, can you remind us what the cap rate was on those assets as they went into the JV?
John Murray: Rick, do you have that number off the top of your head?
Rick Siedel: I do. It was about a 5.8%, Bryan.
Bryan Maher: Okay. And then lastly, and I might be wrong on this. Correct me if so. Was there potentially another JV partner kind of planning on coming into that JV at some point in the future? And do you continue to expect that JV to grow over time, say, over the next six to 18 months?
John Murray: Yes. We are in discussions with a second venture partner. Due to the timing of them deciding to move forward with us, they haven't had the ability to conduct property-level diligence because of the pandemic. And so we're working on completing documentation. We do expect that they will join the venture on the same terms as the initial joint venture partner, and that would reduce our ownership to just over 20%. And so that's that timing is hard to tell, but assuming that the market start if people start to return to work in May or June, then maybe in the third quarter that additional partner will be able to join. And then we expect it to grow from there.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to John Murray for any closing remarks.
John Murray: Thank you all for joining us on the call today, and we hope you stay well and look forward to talking to you soon.
Operator: This conference has now concluded. Thank you for attending today’s presentation.